Operator: Greetings, and welcome to Gannett's Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn this conference over to your host, Ms. Trisha Gosser, Investor Relations. Please go ahead, ma'am. You may begin.
Trisha Gosser: Thank you, Laura. Good morning, everyone, and thank you for joining our call today to discuss Gannett's second quarter 2021 results. Presented on today's call will be Mike Reed, Chairman and Chief Executive Officer; and Doug Horne, Chief Financial Officer. During this call, we will discuss Gannett's financial results for the quarter. If you navigate to the Gannett website, you will find that we have posted an earnings supplement in addition to our earlier press release. We will be referencing it today on the call as it provides you with additional detail on this quarter's performance. Before we begin, please let me remind you that this call is being recorded. In addition, statements made during this call with respect to future results and events are forward-looking statements that are based upon current expectations. Actual results and events could differ materially from those discussed today. We encourage you to read the forward-looking statements disclaimer in the presentation as well as the risk factors described in Gannett's filings made with the SEC. In addition, we will be discussing some non-GAAP financial information during the call today. You can find reconciliations of our non-GAAP measures to the most comparable GAAP measures in the earnings supplement. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell or solicitation of an offer to purchase any interest in Gannett. The webcast and audiocast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted without our consent. With that, I would like to turn the call over to Mike Reed, Gannett's Chairman and CEO.
Mike Reed: Thanks, Trisha, and good morning, everyone. Thanks for joining us this morning for Gannett's second quarter earnings call. We've had a very strong second quarter, and are excited to share with you many of the details. Our second quarter financial results outpaced expectations with revenue growing 6.8% year-over-year on a same-store basis, and adjusted EBITDA growing 48% as compared to the prior year second quarter. That marks our third consecutive quarter of adjusted EBITDA growth to the prior year. Adjusted EBITDA of $116 million in the second quarter brings our LTM adjusted EBITDA to $453 million. Within the quarter, the Company repaid approximately $46 million in debt under our 5-year Term Loan B. This was done with asset sales and with excess cash flow. This brings our total principal balance under our term Loan B below $1 billion. We also finished the quarter with $159 million of cash on hand. Equally as important, we continue to make tremendous progress on our long-term strategy and against our five strategic pillars. As a result, our digital revenue is now 32.2% or about 1/3 of total revenue. And importantly, the digital category is growing strongly, up 33% in Q2 over prior year. We had previously laid out a clear vision and strategy for the Company, and we've continued to make progress on that strategy. Accelerating digital subscription growth is our first pillar and remains our top priority. We ended the second quarter with approximately 1.4 million digital-only subscribers, adding 160,000 new net subscribers in the quarter. This subscriber growth for the Company outpaced our previous high, which we set during the first quarter of this year, with 120,000 net new adds. And our TAM for growth in the digital subscription category is quite large. With the 174 million unique visitors per month in the quarter, as measured by ComScore, Gannett has the sixth largest digital reach across all domestic peers. We are actively working to further expand our customer base through new product launches that will attract a younger audience and through continued investment in diversifying our high-quality local, regional and national content. During June, USA TODAY launched a new crossword subscription product. And in July, we fully launched our USA TODAY news subscription product. Prior to these rollouts, virtually all of our digital-only subscriber volume stemmed from our initial paid digital strategy for our local properties, which is still very early stage. With a subscriber model at USA TODAY, a new subscription product, a portfolio of new content subscription products in the pipeline and data, driving our decisions based on what our consumers and customers are engaging with, is leading to steady progress towards our goal of 10 million digital-only subscribers by 2025. Our digital-only subscription growth is rooted in the highly valued and unique content, our USA TODAY NETWORK produces. Just to remind you, the USA TODAY NETWORK includes over 250 local media markets as well as our USA TODAY publication. Combine this with our data-driven growth strategies, ongoing cross-functional efforts to run experiments that drive both subscriber acquisition growth as well as strengthen subscriber engagement and retention on our platform leaves us very optimistic about our opportunities to perform in this category. The engaging and quality journalism, our national and local markets produce was evidenced by the impressive accolades our team received in the second quarter. I'd like to congratulate our team at the Indianapolis Star for winning a 2021 pullet surprise for national reporting alongside partners at the Marshall project, AOL.com and the Invisible Institute for a year-long investigation into police dog attacks. In addition, the Louisville Courier Journal was named a finalist for two politer price categories, breaking news and public service for its coverage and relentless investigation into the fatal shooting of Breonna Taylor and the ensuing 180 days of unrest. This marks five Pulitzer winners and four finalists awarded two Gannett journalists in the last four years. Great work by the team. In addition to the Pulitzer Prize, the Louisville Courier Journal and ABC News 2020 were named the winner of a prestigious Peabody award, which honors excellence in storytelling, reflecting the social issues and emerging voices of our day for outstanding work on the joint investigative documentary titled, Say Her Name: Breonna Taylor. The Courier Journal collaborated with ABC News on the two-hour documentary, and brought Gannett's knowledge and expertise together in a compelling and vital display of visual journalism. USA TODAY NETWORK South region won the grand prize in the Robert F. Tenet Book and Journalism Awards for their series called Confederate Reckoning. Dozens of journalists across five states worked on the project, which explores the shadow of racism in the American South. And finally, the USA TODAY NETWORK received several wins from the Society of Professional Journalists, Sigma Delta Chi national awards honoring the staff at USA TODAY and in Milwaukee, Indianapolis and Nashville. The scope of these accolades reflects the impact our local to national news presence has on the communities we serve. As we move to our second pillar in our strategy, which is accelerating growth off of our platform for Digital Marketing Solutions, I want to reiterate why we are so bullish about this business. First, this business has many similarities to a subscription or SaaS model in that it has a very high revenue and client retention from period-to-period. We have historically retained 96% to 97% of customer revenue month-to-month, akin to a SaaS or subscription product. There are over 30 million small businesses in the U.S., and those businesses are increasingly dependent on a digital strategy to grow their businesses and more importantly, to generate and manage leads. We serve these businesses with our digital platform that helps our business partners establish and optimize their digital presence. We assist them with optimizing their marketing spend across an increasingly complex online digital ecosystem while optimizing their lead management process. Finally, given our long-standing involvement and knowledge of the communities in which we operate, we believe that we have a true advantage at successfully reaching the small and medium-sized business segment. Starting this quarter, we are providing you with additional visibility into our DMS business by providing more information about our client counts, ARPU and revenue retention period-to-period. With that, let me take a moment to discuss some of our DMS highlights from the second quarter. Our platform for our Digital Marketing Solutions segment generated revenue of $110 million in the second quarter, and that represented double-digit growth up 21.5% compared to the prior year on a same-store basis, and importantly, up 7.6% sequentially to Q1. Our core platform business, which we view as customers using our proprietary digital marketing services platform, grew 33% over the prior year, accompanied by significant improvement in ARPU, which we also saw, we saw a 12% sequential growth in terms of revenue over the first quarter, and that was in line with customer growth sequentially of 13% from the first quarter, so strong growth as measured by all metrics in this category generated off of our platform. The growth of revenue and client count is coupled with strong segment adjusted EBITDA margins as well. Our margins were 11.4% in the second quarter. That's up from 9% in the first quarter and represents our strongest quarterly performance to date for this segment. We are proud of the progress the Digital Marketing Solutions business has made over the past several quarters and are very optimistic about the opportunity for sustained long-term growth in this segment off of our platform. We have included a deeper dive of Digital Marketing Solutions segment of our Digital Marketing Solutions segment, along with other key metrics in our earnings supplement, which Trisha mentioned, is available now on our Investor Relations website at investors.gannett.com. Our third strategic pillar is optimizing our traditional business across circulation and advertising. Within the second quarter, we've added content to Sunday newspapers in 19 markets and will further expand that to more markets in the third quarter. We've included more local news, regional coverage, sports and puzzles, and the customer feedback and early data is very positive. Improving retention and stabilizing our home delivery print circulation subscriber base is a strategy that impacts our results over the long term, and we are committed to making the investment in our newsrooms and in content in order to improve the lifetime value of our subscriber base. Our fourth pillar is prioritizing investments in our growth businesses. Last week, Gannett announced an exclusive strategic partnership with Typical U.S. in the sports gaming and bedding area. Typical U.S. is the U.S.-based sports book of Typical Group Ltd., which is the leading sports book provider in Germany. With this announcement, Typical became the exclusive sports betting and iGaming provider for Gannett in the U.S. he five-year agreement includes $90 million in media spend by Typical with Gannett, along with incremental incentives payable to Gannett for customer referrals and the ability for Gannett to acquire up to a 4.99% stake -- equity stake in Typical U.S. With a highly engaged audience of more than 46 million sports fans, over 500 dedicated sports journalists and more than 200 sports sites in our portfolio, Gannett is uniquely positioned to reach sports and gaming enthusiasts. The partnership with Typical also enables Gannett to add additional value for our subscribers and loyal readers as we enhance the great sports content we already provide with Typical's incredible expertise and analysis, betting insights and odds. We are excited to partner with Typical on this effort, to give them a direct relationship to the passionate local and regional fans in our network, and to leverage our USA TODAY NETWORK portfolio to grow their brand in the Company and the Company in the U.S. We expect this partnership to be a huge value creator for Gannett. In the quarter, Gannett also launched its inaugural NFT, which was truly a company-wide effort with proceeds benefiting the Air Force Space and Missile Museum Foundation and the Gannett Foundation. The first newspaper delivered to the Moon collection highlighted our unique content and our ability to use technology as we find meaningful ways to bring communities together and engage new audiences. Given the vast content we've produced through our 100-plus year history, there's a tremendous archive for us to use as we ideate and explore how to bring these archives to life as compelling digital offerings. It's a creative and innovative space, and we'll continue to experiment as we look to unlock the unrealized large value of our archived content. Finally, we saw live events begin to accelerate slightly in the quarter, although the ongoing impacts of the pandemic have muted a more robust return. We held 81 events in the second quarter, with approximately 20% of them held in person. Our 81 events is up from 13 events in Q1 of this year and up from 75 events in Q2 of 2020. The slight increase in the number of events from Q2 2020 to this quarter resulted in 4.4% revenue growth versus the prior year in our events category. While the Delta variant continues to slow the rebound of in-person events, we are hoping for more favorable conditions in the back half of the year. Also last night, we aired the first ever national USA TODAY High School Sports Awards, co-hosted by Rob Gronkowski and Michael Strahan, which celebrated the best in high school sports across the country. These awards, the largest high school sports recognition program in the country featured student athletes from the communities we serve, alongside professional talent such as Shaq, Aaron Rodgers, Kevin Garnett, Lindsey Vonn, just to name a few. This is a prime example of our deep local engagement, combined with our national infrastructure that fuels our confidence in the long-term opportunity in our events business, and our belief that this can be a significant driver of growth for the Company in the future. As we look to the third quarter, we will continue to build on the early foundation set through the first half of this year. We expect same-store revenue in the third quarter to grow in the low single digits as compared to the prior year. We expect adjusted EBITDA to grow year-over-year again for the fourth consecutive quarter. And we expect margins in the third quarter to be in line or slightly better than our first half of the year performance in 2021. As mentioned, this would represent our fourth consecutive quarter of growth and contribute to significant full year 2021 adjusted EBITDA growth as compared to 2020, which we've mentioned on the last couple of earnings calls. We are very pleased with the strong execution by our team in the second quarter and the significant progress we have made against each of our key strategic growth initiatives. I'd now like to turn the call over to Doug to discuss our financial performance in more detail. Doug?
Doug Horne: Thank you, Mike, and good morning, everyone. For Q2, total operating revenues were $804.3 million, which was an increase of 4.9% as compared to the prior year quarter. On a same-store basis, operating revenues increased 6.8% as compared to the prior year quarter, which was the quarter most significantly impacted by the COVID-19 pandemic. Adjusted EBITDA totaled $115.8 million in the quarter, which was up $37.8 million or 48.4% year-over-year. The adjusted EBITDA margin was 14.4%, up from 10.2% in the prior year quarter and 12.9% in Q1. This performance reflects the impact of year-over-year revenue growth while holding adjusted EBITDA expenses relatively flat. These are strong results, particularly considering that the prior year benefited from approximately $150 million of largely temporary cost reductions put in place in response to the pandemic. On the bottom line, we achieved $15.1 million of net income and $30.1 million of adjusted net income attributable to Gannett in the second quarter. Moving now to our segments. The Publishing segment revenue in the second quarter was $724.5 million, up 4.2% as compared to the prior year quarter and up 5.6% year-over-year on a same-store basis. Current advertising revenue increased 10.7% compared to the prior year on a same-store basis as a result of the pandemic's impact in the prior year. Digital advertising and marketing services revenues increased 35.9% on a same-store basis, reflecting strong operational execution from our national and local sales teams. Despite a slightly smaller audience base compared to last year's peak new cycle, which was driven by the pandemic and the political environment, digital media revenue increased 46.9% versus the prior year. National sales of digital advertising grew 77% as compared to the prior year and over 49% on a two-year basis. We saw strong national demand for both our owned and operated and third-party properties. Digital classified revenues declined 19% on a same-store basis. While this is a significant improvement as compared to the Q1 results of down 31.3%, digital classified was negatively impacted in the period as a result of lower automotive business, which is reflective of supply constraints impacting the automotive industry. It is also worth noting that Q2 of 2020 was the last period that benefited from our previous relationship with Cars.com. Moving now to digital marketing services. Digital marketing services revenue in the Publishing segment grew 41% year-over-year and 17.2% quarter-over-quarter. These results reflect the highest digital marketing services revenue from the Publishing segment to date, and it reflects both an increase in the number of clients sequentially over the past quarters as well as an increased ARPU as compared to the prior year. Moving now to circulation, where revenues decreased 9.2% compared to the prior year on a same-store basis, which compares favorably with Q1 same-store trend of down 12.9%. Home delivery trends declined slightly due to the prior year impact of seasonal visitors staying longer in certain of our markets as a result of the pandemic. Also with regard to single copy, it is still significantly impacted by the ongoing pressure of the pandemic as a result of lower business travel, but it continued to show improvement year-over-year and was down 5.1% on a same-store basis as compared to down 31.5% in Q1. Record digital-only subscriber growth yielded 40% growth in digital-only revenue. Digital-only subscribers grew 41% year-over-year to approximately 1.4 million subscriptions. Digital-only ARPU was essentially flat year-over-year as we continue to focus on growing the overall volume of our subscriber base. Adjusted EBITDA for the Publishing segment totaled $114.2 million, representing a margin of 15.8% in the second quarter. That represents an expansion of 120 basis points over Q1 and the prior year. For the Digital Marketing Solutions segment, total revenue in the first quarter was $110 million, an increase of 21.5% on a same-store basis and a substantial improvement in year-over-year trends. As compared to Q1 2021, revenue grew $7.8 million or 7.6% on growing client counts -- or client accounts. Those that utilize our proprietary digital marketing services platform increased from 13,600 clients in Q1 to 15,300 clients in Q2, a 12.7% sequential increase. Comparing to the prior year quarter, the core business, which accounts for 95% of the revenue in the Digital Marketing Solutions segment, increased 32.9% year-over-year. While the average client count declined year-over-year from 16,100 in Q2 of 2020 to 15,300 in 2021, that decline is attributable to the alignment of the product suite and platforms that took place in late Q3 2020, bringing together the legacy ThriveHive and ReachLocal systems onto a single platform. Several low dollar and low-margin products were eliminated from the portfolio, which had the impact of reducing overall client count by approximately 2,500 customers. The more focused combined products will help fuel the year-over-year growth and the increase in ARPU from $1,600 per month in Q2 of 2020 to $2,300 per month in Q2 of 2021. Adjusted EBITDA for the Digital Marketing Solutions segment totaled $12.5 million, representing a strong margin of 11.4% in the second quarter, above our Q4 2020 and Q1 2021 levels and the strongest margin to date within the segment. This margin growth is a result of solid execution by the direct and local market sales teams as well as an improved product portfolio. Our Q2 net income attributable to Gannett was $15.1 million and includes $48.2 million of depreciation and amortization. The Company's effective tax rate for the quarter was primarily driven by valuation allowances on nondeductible interest expense carryforwards as well as the deferred tax impact associated with the increase in the U.K. statutory rate, which will be effective in 2023. Net income in the quarter benefited positively from a significant reduction in integration and reorganization costs as the vast majority of the reorganization costs tied to the Gannett acquisition are behind us. Additionally, we are benefiting from our improved capital structure. In Q2, our interest expense was approximately $35 million, which is down 39% from the prior year. Let's now turn to the balance sheet. Our cash balance was $158.6 million at the end of Q2, resulting in net debt of approximately $1.3 billion. Our ending Q2 cash balance was impacted by an optional $35 million debt repayment we made during the quarter. Capital expenditures totaled approximately $8.2 million during Q2, reflecting investments related to digital product development, technology and operating infrastructure. Free cash flow in the second quarter was $23.1 million, which reflects interest payments of approximately $36.4 million. Free cash flow in the quarter was burdened from a working capital perspective by approximately $42 million as a result of the timing of our employee payroll and seasonality associated with accounts receivable. We ended the quarter with approximately $1.5 billion of total debt, comprised primarily of $991 million of five-year term loan and $497 million of the 2027 convertible notes. During the quarter, we repaid $450 million of debt funded through $11.2 million of real estate sales and excess cash flow. We continue to optimize our real estate and asset portfolio, and we completed 28 real estate transactions for approximately $11 million in proceeds during the quarter. Additionally, we expect to generate $80 million to $100 million of incremental asset sales during the second half of this year, of which approximately $20 million has already been completed in July. We remain confident in our ability to achieve our first lien net leverage goal of below 1x adjusted EBITDA by the end of 2022. In summary, we are very pleased with the strong execution and financial results in the second quarter, which, as Mike noted, demonstrates solid progression against each of our strategic priorities. We look forward to and anticipate continued adjusted EBITDA growth in Q3 and strong performance in the back half of 2021. With that, operator, you can now open the line for questions.
Operator:
Mike Reed: Thank you. I'd like to close our call this morning by just reiterating how pleased we are to have made the significant progress that we did in the second quarter against each of our five strategic pillars. We have tremendous momentum that we're carrying forward into the third quarter and the second half of the year. And just to recap, we achieved record growth in digital-only subscribers. We recorded strong growth in our Digital Marketing Solutions business with increasing EBITDA margins in that category. We drove improved results in our print business. We signed an important sports betting agreement in our growth businesses segment. We achieved continued growth in our events business despite the ongoing impact of the pandemic, and we remain ahead of schedule in reducing debt and leverage, generating strong cash flows. These results not only demonstrate the progress that we are making against each of our key initiatives, but they are also illustrative of the inflection we are seeing in our business towards growth here at Gannett. I'd like to take this opportunity to thank the entire Gannett team for their passion, commitment and dedication to the execution of our strategy. And I'd also like to thank our investors for their continued support in our company. We look forward to reporting our continued progress again next quarter and to speaking with many of you over the coming months. Thank you.
Operator: Thank you for joining us today. This concludes today's conference. You may disconnect your lines at this time. Enjoy the rest of your day.